Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Sprott Inc.'s 2014 Third Quarter Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, November 13, 2014. On behalf of the speakers that follow, listeners are cautioned that today's presentation and the responses to questions may contain forward-looking statements within the meaning of the safe harbor provision of the Canadian provincial securities law. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are implied in making forward-looking statements, and the actual results may differ materially from those expressed or implied in such statements. For additional information of the factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the MD&A for this quarter and Sprott's other filings with the Canadian securities regulators. I will now turn the conference over to Mr. Peter Grosskopf. Please go ahead, Mr. Grosskopf.
Peter F. Grosskopf: Thank you, operator. Good morning, everyone, and thanks for joining us today. With me on the call today are John Wilson, the CEO of Sprott Asset Management; and Steve Rostowsky, our CFO. Our Q3 results were released this morning and are available on our website, where you can also find the financial statements and MD&A. I'll start on Slide 3 with a review of our third quarter highlights. After delivering solid performance through the first 8 months of the year, most of our funds experienced a setback that began in September as precious metal and energy stock sold off. However, our investment performance remained positive through the first 3 quarters of 2014 with $170 million in market value appreciation. Our overall AUM has proven resilient despite the headwinds in our sectors and our overall defensive positioning and stands at $7.4 billion at the end of Q3 compared to $7.8 billion at the end of Q2. During the quarter, we launched 2 new funds, including our first ETF, the Sprott Gold Miners ETF, ticker SGDM. The ETF trades on the New York Stock Exchange and has performed well since it was launched in July. It actually raised more than $90 million in assets, which after some of the sector losses stand currently around $75 million, $80 million, and outperforming its main competitor, the GDX. We've also expanded our specialty lending franchise with the introduction of the Sprott Bridging Income Fund. Finally, our capital book, which stands at about $320 million, continues to deliver strong results with an annualized return of approximately 12%. It's been a busy quarter at Sprott Asset Management, where we've continued to revamp the franchise, and I'd like to introduce John Wilson, who can talk about some of the recent highlights and new additions to the team.
John N.G. Wilson: Thank you, Peter, and you're right. It has been a busy couple of months. I want to hit a few of the key highlights on Slide 4. First of all, as many of you know, Jason Mayer joined Sprott 2 years ago with the job of revitalizing our flow-through franchise and has done a great job. We did close an additional $20 million in our flow-through LP in the third quarter, and that brings our total raise year-to-date to just over $35 million, which has been a great job in a very difficult resource market. And we really believe the flow-through franchise is now set up to continue its growth and be a major competitor in that space as we move into 2015 and beyond. On top of our success on flow-through on the U.S. side, our team down there under Rick Rule closed a 10-year limited partnership on exploration that raised close to $30 million and was well oversubscribed, showing that despite the difficult resource markets, we continue to have people focused on the long-term potential of the sector. And then finally, we continue to look at the opportunities out there to add talent, and we see significant opportunity. And we were able to close on 2 of them recently, and I'll talk to both of those. Earlier this week, we did announce that Whitney George will be joining Sprott from Royce & Associates. Whitney was with Royce for a very long time, and he helped it grow to become one of the largest and most respected small-cap managers in the U.S., with well over $30 billion in AUM. Whitney is going to stay in New York, and he's going to be a key part of our effort to grow our U.S. and international business. We think he can also play a strong role growing the awareness of our existing products such as the physical trusts and the new ETFs. On top of Whitney joining us, he is bringing a -- we have a final letter of intent to bring 2 of the funds with him with combined AUM of about $285 million, and that's still pending regulatory and shareholder approval. I think it's important to note that beyond the opportunities for us of having Whitney join us, Whitney saw tremendous opportunity to become part of our team, and he is planning to become a significant equity investor in our firm. In the Canadian side, we announced 2 new portfolio managers who are going to deepen our investment team here, James Bowen and Jon Wiesblatt, both of whom have a great long-term record picking stocks and who we think we can build new businesses with as well as improve existing businesses, including the Canadian Equity Fund. They most recently came from a Toronto-based long/short hedge fund, where they delivered impressive performance during their time there. Now with those comments, I'll pass it over to Steve to review our financial results.
Steven Paul Rostowsky: Thanks, John. Good morning, everyone. I'll start on Slide 5 with a look at our Assets Under Management. Our AUM were $7.4 billion as of September 30, 2014, a decrease of $479 million from the end of Q2. The decrease in AUM during the quarter was largely due to a decrease in market values of $558 million, which was slightly offset by net sales of $61 million and an acquisition of $18 million, which was the Sprott Bridging Income Fund. Our AUM held steady through the first 2 months of the quarter but fell fairly significantly in September as precious metals sold off and energy prices declined steeply. Unless this trend reverses over the next 6 weeks, we expect the same factors to also have a negative impact on our fourth quarter AUM. Turning now to AUM and AUA changes by product type. Our asset mix is relatively unchanged from the end of Q2. Our physical bullion businesses, which remained the largest contributor to our total AUM, decreased by $320 million during the quarter mostly due to the markets as well as about $20 million in net redemptions. Our mutual funds recorded $95 million in net sales during the quarter, which was offset by $139 million in market value depreciation. Our alternative investment funds as a group reported $12 million in redemptions and $49 million in market value declines during the quarter, while our fixed-term LPs declined by $30 million during the quarter. Moving on to Slide 7, which gives you a breakdown of our revenue for the quarter. Management fees were $20.3 million, reflecting an increase of about $800,000 or 4% from the comparative period. Average AUM for the quarter was $7.8 billion, about 5% higher than the corresponding period last year. Commission revenues were $2 million for the quarter, reflecting an increase of about $500,000 from the prior period. There was some private placement activity early in the quarter, which resulted in higher commissions than last year. Interest income was $5.3 million during the quarter, up from $3.3 million in Q3 2013 due largely to the performance of the loan book and cash from last year's Sprott Resource Lending acquisition. During the 3 months ended September 30, 2014, we recorded $4.3 million in losses from capital invested in proprietary investments compared with a gain of $1.3 million in the third quarter last year. In the third quarter of last year, other income included 2 large nonrecurring items, a break fee from the termination of a management contract and the purchase gain related to the SRLC acquisition. The other income of $4.3 million for the third quarter this year is largely due to foreign exchange gains given our larger holdings of U.S.-denominated cash and loans. Looking now at summary financial information. Total expenses for the quarter were $21.5 million, a decrease of $8.9 million or 29.3% from the third quarter last year. However, the decrease was largely due to decreased compensation expenses. But in the comparative period last year, again, there were 2 large specific items. So on a run rate basis, our salaries and benefits expense for Q3 is reflective of our current situation. As discussed in previous quarters, discretionary bonus accruals are higher than last year due to the inclusion of -- in 2014 of income relating to the management of capital, including the loan portfolio following the Q3 2013 acquisition of SRLC. Trailer fees for the quarter increased by over 20% compared with the same period last year. This is a positive development as our trailer-paying assets, particularly mutual funds, have increased. G&A expenses were about $400,000 or 6% higher than Q3 last year. The increase was primarily due to sub-advisory fees and higher marketing costs mainly relating to the launch of the Sprott Gold Miners ETF and the Sprott Bridging Income Fund. These increases were partially offset by decreases in regulatory fees, fund subsidies and general -- G&A expenses. Adjusted base EBITDA for the quarter was $11.4 million or $0.05 per share, up from $5.9 million or $0.03 per share in the third quarter of 2013. Net income for the period was $4.5 million or $0.02 per share compared with a net income of $13.5 million or $0.06 per share for the 3 months ended September 30, 2013. The next slide shows the EBITDA reconciliation in more detail. The slide is self-explanatory, but we thought it would be useful to show the components of the adjustments included in the adjusted base EBITDA metric. The adjustment for gains and losses on proprietary investments and loans differs from the income statement amount by about $200,000 because the income statement includes resource loan loss provisions, whereas those are not added back for the purpose of calculating adjusted base EBITDA. Slide 10 provides a snapshot of our current capital position. We currently have an extremely strong balance sheet with $320 million in investable capital as well as an undrawn line of credit. We have a disciplined capital allocation framework in place, and we'll be judicious in the deployment of balance sheet capital. With that, I'll pass it back to John.
John N.G. Wilson: Thanks, Steve. Looking at Slide 11, I wanted to talk quickly about where we are moving into 2015. And on that note, we see a great opportunity to continue to build on the diversified Canadian platform we've created over the last couple of years, with a key focus on improving not only our investment management and performance, but also leveraging that to build new businesses. A key element of that has been repositioning our brand away from the traditional perception as a resource-oriented firm with a focus on precious metals towards a firm known for being a differentiated provider of new strategies that help our advisers add value to their client portfolios. Now we have a number of new strategies that we're focused on bringing to scale as we move into 2015. We have a strong fixed income offering that we continue to focus on, and you'll see more effort behind in 2015 to build that into a bigger-scale platform. We have built a very good base in the marketplace in what we call alternative income, ways to generate yield and income for advisers and their clients without taking great risk or investing in traditional instruments, and the launch of our bridging offering is a key example there. Third, we are seeing good momentum in our real asset offering, and we expect to make great progress in '15 as we bring those funds to scale. And finally, after a few very difficult years in our sector-oriented funds, we think there's an opportunity in '15, mostly because many competitors are leaving those areas, for us to add scale on our sector-based funds. With that, I'll hand it over to Peter to talk about our U.S. and international efforts.
Peter F. Grosskopf: Thanks, John. On the resource side of the business, we will continue to expand our passives business, both in the U.S. and internationally. The early results from the SGDM are very encouraging despite negative market conditions, which is always a good sign. And we think there could be opportunities to leverage our expertise and resources to expand and build a broader ETF franchise. The next step for us will likely be the launch -- U.S. launch of a junior gold ETF in early 2015. We believe the current sea change in resources requires a new approach, and we're in the process of developing next-generation funds in hedge, long only, lending and private equity for resources. After a good start in 2013 with our Chinese and Korean efforts, we were not able to realize on our objective of announcing large-scale commitments on the year-to-date. However, we are close, and we will continue to look at building new institutional business through winning substantial mandates. The second part of that strategy is with the addition of Whitney George, we can look at more general asset management business in the U.S. The downturn in precious metals has taken a toll on many of our competitors, and we continue to selectively evaluate acquisition opportunities. We'll make -- we'll look at opportunities both in-market and internationally. Finally, while we're confident in our ability to advance our business plan and vision and we believe our positioning will pay off in the longer term, we're also committed to prudent expense management. And in the absence of a significant rebound in energy and resources, many of our efforts will look towards cost-cutting in the future. I guess that concludes the remarks for today's call. I'll now pass it back to the operator for questions. Thank you.
Operator: [Operator Instructions] The first question is from Geoff Kwan with RBC Capital Markets.
Geoffrey Kwan - RBC Capital Markets, LLC, Research Division: I just had one question for you. You just talked about in your presentation about wanting to be a global leader in the precious metals investing, and also, you've been looking at doing some M&A internationally. And I'm just -- my question's a little bit broader than -- just broadly more in resource investing. Are you able to, in terms of reaching out to -- more broadly in the institutional part of the market? And also, to the extent that you want to touch the retail outside of North America, can you do that with the current platform that you have? Or do you need to maybe look at doing some sort of either acquisition of somebody outside of North America or kind of build kind of a greenfield-type operation to try and grow that business?
Peter F. Grosskopf: Thanks for the question, Geoff. The answer is that we have everything that we need. The acquisitions that we've been looking at in the past internationally, we hoped to gain one thing in particular that we haven't had, which is a committed institutional shareholder base. So we've looked at it from the perspective mostly of client additions or distribution. What we found is that we're doing everything we need to already in terms of fund management on our existing platform. I think in terms of retail distribution, the ETF is really the answer internationally. ETFs are just so much easier to purchase for such an absolutely huge retail base that it's the natural way to grow. We haven't found anything on the retail side that we've looked at in the international markets. That's mostly been institutional.
Geoffrey Kwan - RBC Capital Markets, LLC, Research Division: Okay. So if you wanted to go out, and whether or not it's say, in Asia or Europe and stuff like that, like, are you able to do it with a North American listed-type products? Or would you have to do something more local there?
Peter F. Grosskopf: Well, if your answer is on retail, anyone who wants a passive product can buy those ETFs in almost any market. So for passives, those are good internationally. For a direct retail -- a managed fund for retail investors, we would have to partner in a local market with a distribution partner.
Operator: Next question is from Graham Ryding with TD Securities.
Graham Ryding - TD Securities Equity Research: Could you just maybe provide a little more color on where you're at with the Sprott Resource Lending LP?
Peter F. Grosskopf: Yes. So we continue to run approximately $125 million to $150 million in those strategies. We do have some outside partners, but they are really just syndicate partners at this stage. We were very close, as you know, to a large-scale subscription earlier this year, and we hope to revisit that in the near future. We've been out there talking to people for most of the year, and we think we have a good chance for success to launch a more institutional fund in the near future.
Graham Ryding - TD Securities Equity Research: Okay, great. And I think it was mentioned there's resource loan losses of approximately $200,000 in the quarter. How does that compare to previous quarters?
Steven Paul Rostowsky: They've been really -- Graham, it's Steve. They've been pretty small in previous quarters. It's pretty much the same. I think it's just interest on a couple of loans. There are a couple of loans that aren't performing. We have to accrue the interest and then provide against it, just under accounting rules. The loans that we have in the portfolio are different than sort of more traditional kind of bank loans because you have really good coverage ratios. So a lot of times, it's leaned towards 2 or whatever times -- they're asset-based loans, so a coverage ratio is so -- we do look at valuation every quarter, but you also look at coverage and the assets that those are lent against before you write down the loans. So there's no loans that are -- that through 3 quarters were impaired to the extent that we actually had to write them down, no resource loans anyway.
Peter F. Grosskopf: Yes, and I'll answer that question in a more broader context as well. All of our significant positions in the resource lending book are on side. We're fortunate that we don't have any workouts to deal with. And there is, from quarter to quarter, some accounting slop that gets created just from mark-to-markets on various security positions that we inherit through the loans. And we're still working through our last real estate position, which is just about -- we're just about out of, so it's going on -- very much on plan in that portfolio.
Graham Ryding - TD Securities Equity Research: Okay. So the 2 loans that are not performing, has that changed at all in the subsequent quarter given there's a little bit of further weakness? Or what's your visibility there?
Peter F. Grosskopf: No, it hasn't changed.
Graham Ryding - TD Securities Equity Research: Okay. And then just lastly, on the performance fees side overall. It sort of -- it looks to us like it's pretty limited for your funds this year. Is that accurate? And then is there any visibility with Sprott Resource Corp. or Toscana for performance fee outlook there?
Steven Paul Rostowsky: Yes, Graham, I think you're correct. Our sources of performance fees are going to be similar to last year, the Private Credit Fund, something from Toscana and maybe a couple of our other funds. But they're sort of -- so they're small and are close, so it's hard to predict. So I think our performance fee visibility is probably not that much different than last year at this point, but we've still got 2 months to go.
Operator: The next question is from Gary Ho with Desjardins Capital Markets.
Gary Ho - Desjardins Securities Inc., Research Division: First question is for John or Peter, decent net sales this quarter, particularly on the mutual funds side. Can you give a little bit more color on where flows are going into in particular? And can you give an update on AUM and the Enhanced Products?
John N.G. Wilson: It's John Wilson here. Well, our flows on mutual funds continue to be led largely by the enhanced series of products. We did see some flows start to come into some of our other funds as well, which was a focus for us as we moved into the second half. To be successful, as we move into '15, we clearly expect to keep growing the Enhanced franchise, but we also, as I mentioned earlier, have several other categories which we want to keep growing or get to scale. The Enhanced franchise in total is sitting over $800 million, actually, just under $900 million at this point. And it continues to see pretty good flows on a daily basis.
Gary Ho - Desjardins Securities Inc., Research Division: Okay. And then on a related question, it seems like you guys are getting traction in your diversification efforts, seeing funds are going into Enhanced Products as well as announcements of the new hires. And correct me if I'm wrong, their primary focus is not resource or energy-driven in particular. I'm not sure if you can quantify it, but how much of your assets are kind of non-resource focused? And where do you want to take that to, let's say, over the next 5 years?
John N.G. Wilson: Well, I'll take that in 2 parts. So in terms of our diversification effort regarding talent, you're right that the 2 new gentlemen we have joining us are what I'll call stock pickers. They don't -- they may be in resources. They may not. They don't care. They're looking to generate alpha through making money for clients, and their history has been more -- much more broad-based than the resource sector, obviously. And so in that sense, they add more diversified equity stock-picking talent to our team. And we do think there's some interesting businesses we can build with them based on their past success. So that is a key focus for us. If you look at our asset mix, obviously, a big component of our AUM remains the physicals, which are clearly resource-oriented funds. But in our active managed products, well over half of our actively managed funds now are non-resource funds. It's something that we do track primarily because of, obviously, the difficult resource market. We want to have more than half of our business leveraged to things that aren't in resources at the moment because it allows us to swing the growth momentum of the firm. In terms of a long-term target, I mean, I'll tell you honestly, I don't have a percentage in mind. Ideally, I want both sides of the ledger to grow significantly from these levels. Resources will obviously depend more on the general commodity markets that they're leveraged to, and that's harder to call on a short- to medium-term basis. Whereas we think regardless of what happens on that side, we can continue to meaningfully grow the diversified side. So until commodity markets turn around, we're going to try and do our best job in those categories. We're going to be a survivor in those categories. We're going to actually continue to try and launch new products in those categories. But we think we can definitely grow our AUM regardless on the diversified side. So in all likelihood, over the near to medium term, you're going to see that percentage continue to decline.
Gary Ho - Desjardins Securities Inc., Research Division: Okay, perfect.
Steven Paul Rostowsky: And for a little bit more color, Gary, if you look at our product in management -- AUM mix, if you take out the physicals, both the physical trust and the physical bullion funds, about 40% of the active managed is in resource and about 60% in non-resource-focused mandates.
Operator: The next question is from Paul Holden with CIBC.
Paul Holden - CIBC World Markets Inc., Research Division: So Peter, I want to ask you a little bit about the potential for cost reductions. It sounds like you're very busy launching new product, adding additional portfolio managers. I think that's the right strategy and makes sense. I'm just wondering how we reconcile that against the potential for cost reductions.
Peter F. Grosskopf: Well, I'll answer by saying the -- first of all, the easy pickings on cost reductions have mostly been done. That said, we're still a little fat in some places. It's not going to amount to a large number, but it's significant enough to say we're going to go ahead and do it. You're right. We're investing in our franchise. We believe those investments are going to pay off. And we're also taking risks on new product launches. And not all of those will work out, but we think on balance, they will, and it's tough to cut costs when everybody's busy doing that. So if there needs to be a more substantial round, we've got a lot of water yet to go under the bridge. And as John said, to us, it looks like we're close to the bottom of the U here and that both sides can grow pretty substantially. So the last thing you want to do is let go of good people that are launching good products when you could have a very big payoff in the near future. So there's still a little easy fat to take off. And after that, it's going to be much more difficult, and we really want to see how our road marks are going next year. We think it's going to be a very crucial year for us to grow during.
Paul Holden - CIBC World Markets Inc., Research Division: Okay, got it. And then in terms of the 2 funds you intend to acquire from Royce, I assume those are retail funds.
Peter F. Grosskopf: Yes. And just to be clear, those funds are very closely associated with Whitney himself. One is a hedge fund, and the other is a closed-end fund, which is exchange-traded. They're both very interesting long-term vehicles in the U.S. market, and they have a very distinct style of performance and strategy. But to be clear, we are affecting a transfer to ourselves. We're not paying a large purchase price. We have some expenses in bringing them over. But we feel both are capable of growing in and of themselves.
Paul Holden - CIBC World Markets Inc., Research Division: Okay, okay. So you don't think you actually have to pay a true transfer price to Royce then?
Peter F. Grosskopf: It's more complicated. I mean, no. The short answer is no.
Paul Holden - CIBC World Markets Inc., Research Division: Okay, okay. Fair enough. And then so if it's more retail funds that you're bringing over with Whitney, how will he help you grow in the institutional space?
Peter F. Grosskopf: Well, Whitney's been in the fund business for a long time, and he's a very well-known portfolio manager. And he has, in the past, courted institutions. That's not been a big part of this business, but he is certainly known. And I think what's particularly valuable to us is that for his knowledge base and contact base, precious metals and resources constitute an important component of what he does, but he's a generalist. And I think he can speak very well for the firm in a general context.
Paul Holden - CIBC World Markets Inc., Research Division: Okay, fair enough. You've already answered a few questions around the Sprott Resource Lending, and I don't want to beat this to death. But obviously, we're concerned for a reason given the way commodity prices have come off, including post quarter-end. So maybe some more context in terms of why we should be comfortable around the performance or continued performance of the loans. Anything you can give us in terms of asset coverage might be helpful.
Peter F. Grosskopf: Okay. Well, we have -- the bulk of our book is with pretty substantial resource credits, and there's a lot of repayments that are coming up that are already funded. And so when we look at our book, the vast majorities in very safe credits that are covered well over what conventional covenants would entail, there's a smaller component of the portfolio that's more risky. And even within that smaller component, I think that the coverage ratios are still, on average, probably 4:1 net worth to loan. And so, yes, those companies are struggling. But in one case, we might have the gold on a heap leach pad that we can extract no matter what happens. In another case, we might have oodles of coverage in another way. We think we're well covered. And so we've been, on any occasion that we think there's risk, we've been providing aggressively for it, and we don't think we have to provide here. So we're good. The interest payments are good. What has not been good is the bonus payments. And clearly, in a year like this, where we would have realized 20% gross returns in the past, we're struggling to make 15% because every time we take a bonus, it gets cut in half. So that part of it's been a bit frustrating. We still have a big cash component, and a big component of our capital book is invested, in a broadly diversified sense, in seed investments and other fronts. So overall, I'd say it's very liquid and pretty safe.
Paul Holden - CIBC World Markets Inc., Research Division: Okay. That's very helpful. One final question and maybe a broad part to it, and a smaller part is with respect to CRM 2, obviously, very topical and something we're discussing on the other asset management conference calls. So maybe we can get your broad thoughts. And the sort of smaller part of that question is how CRM 2 might specifically impact the flow-through business given that the benefits of this flow-through product won't show up on the performance reporting.
John N.G. Wilson: So it's John Wilson here, and this has obviously been a well-discussed and somewhat complicated transition as you move towards CRM 2. I'll give you a few general thoughts on it in terms of our business and its impact, and then I'll talk quickly on your comments on flow-through. So it's not -- in our mutual fund business and in our adviser relationship channel, by far, the biggest category of fund flows have been, over the last few years, transitioning towards fee-based class funds. And that's obviously -- we see that in our major channel partners as they prepare for CRM 2. Related to that, when we offer funds, and I'll use Enhanced as an example, it's available in corporate class, so as people -- they choose to switch out of one big category into another, they can do that relatively seamlessly. And I think that's a key advantage for us. But this is going to be a big transition for the adviser network. I think it's going to be a great opportunity for bigger books of business. I think a lot of these smaller books of business that haven't transitioned or maybe are not up for the transition, and that's an opportunity for those bigger books of business through M&A to acquire them and become even bigger. I think importantly, our greatest traction is with big books of business. That's a sort of core segment for what we offer. And so I think that's good for us. On the flow-through, you're right. Flow-through, at best of times, is a complicated selling proposition, not least of which because it's always difficult to remind people about the tax implications later. Once they look at the fund performance, they always have to remember the tax-effective fund performance, and that's never been an easy exercise. Certainly, this transition won't make it any easier. We recognize that. But the key supporters in that category for us have been advisers that are truthfully just trying to do the right tax-effective things for their clients. They've always had to have a pretty specific dialogue on flow-through with those key clients that support it anyway, so I'm not sure that changing the reporting is going to change it that much. So we'll have to wait and see. But it's not like all of the advisers do flow-through. It's a very small subset that focus on it and put a lot of effort on it and because of that, already have a pretty detailed conversation with their clients on it.
Operator: [Operator Instructions] The next question is from Scott Chan with Canaccord Genuity.
Scott Chan - Canaccord Genuity, Research Division: Peter, just on the institutional side, you said you are close to closing. Was that on the existing clients? Or is that potentially new institutional clients?
Peter F. Grosskopf: No. That's new -- that'd be new clients.
Scott Chan - Canaccord Genuity, Research Division: And with the resource market decline in the last 4 months, has it tempered the outlook of co-investment opportunities on the institutional side versus the start of the year?
Peter F. Grosskopf: Well, no one's in a hurry. That's for sure. Look, ironically, and I think they understand that, it's a distressed sector, so there's lots of great opportunities to invest. And I think it's a perfect time to be starting up. But given the returns, everybody's reluctant until all the Is are dotted and Ts are crossed and they all have due diligence advisers, and it just takes a while. It takes a frustratingly long period of time.
Scott Chan - Canaccord Genuity, Research Division: Okay. Just some clarification on Whitney's fund coming over. The $285 million, is that going to be added towards AUM and earned a fee on, or...
Peter F. Grosskopf: Absolutely. But it won't come in till January, February at the -- I think February maybe. First quarter, some time.
Scott Chan - Canaccord Genuity, Research Division: First quarter, some time. And how has Whitney's performance been long term on the 2 funds? Do you have that available?
John N.G. Wilson: Sorry. What was your question?
Scott Chan - Canaccord Genuity, Research Division: Just Whitney's performance track record over the long term. Is it...
John N.G. Wilson: So these funds go back to the early 2000s, so well over 10 years. He's had a very good long-term track record. On a relative basis, his performance hasn't been that strong the last 3 years given he's had some focus on real assets, but it's still been, on an absolute basis, pretty good. So he's just been a great long-term investor focused on small mid-cap stories and a deep value guy. So he'll go through periods when value's not as, on a relative basis, not performing as well, but his long-term numbers have been very strong.
Scott Chan - Canaccord Genuity, Research Division: Okay. And just maybe the final question for Steve. You talked about trailer fees and the sequential uptick in the quarter. Is that due to more front end? I'm just kind of curious to see why it upticked with the market decline on the retail side.
Steven Paul Rostowsky: Just more mutual fund. Well, there's 2 aspects. One is mutual fund sales generally, particularly the Enhanced, but there are some others. And not particularly front-end load. We do some low load, but it hasn't been a lot. We don't do any full sort of 5% commission business. We've never been in that business. Also, the funds that SPW historically held, Sprott Private Wealth, have historically been the older established funds, and those have declined faster. Those trailers eliminate on consolidation. So what we're seeing is external trailers. And those have picked up as sales of the mutual fund assets have accelerated this year.
Operator: The next question is from Aram Fuchs with Fertilemind Capital.
Aram Fuchs - Fertilemind Capital: I was wondering if you can comment a little bit on Sprott Korea and its relationship with Woori. You mentioned in the past that it's a bit of a hybrid, I think it was the language you used, where it's sort of like an asset management and sort of like an iBanking [ph] deal. You've never really talked about the economics of that model, but can you give us a little more detail?
Peter F. Grosskopf: Sure. It's an institutional fund. It has the largest institutions in Korea as investors. The deal with Woori is a joint venture, so we do split fees with them. It's a 10-year deal. The funds under management, for the purposes of calculating the fee, double under certain conditions, so the notional maximum is $750 million, and we start out at a number that's lower than that, about half. The fee is not that substantial. After we pay for office costs and all the costs of supporting the business, we do not make a big profit margin on those assets, but we do make some money. The real advantage is, A, if the fund is successful and we deploy the balance of the capital, the fee doubles. So then it starts to make a reasonable contribution to EBITDA, and that would be next year. B, the performance fee potential. So if the assets perform over hurdles, those performance fees could be good. And then C, the most important thing is we've got a fully established and qualified asset manager in Korea, and we're right now going after additional mandates there. So that's the real upside.
Aram Fuchs - Fertilemind Capital: Okay. Are the hurdles government bond hurdles, bullion hurdle? What is the reference index? And is it like performance fees like a 20 on top of a 1 management? Can you tell us more about that?
Peter F. Grosskopf: No. The fees are lower than that. They're institutional style, and rather than talk about the exact hurdles, I'd say you're talking about relatively little contribution on EBITDA at this stage. You're talking about very low kind of single-digit millions of EBITDA in performance fees and management fees going forward. So it's not a big contributor at this stage.
Aram Fuchs - Fertilemind Capital: Got it. And the tests in order to get the increased AUM, are they just performance? Or what are the hurdles they have to pass there to get the increased assets? And is it automatic? Or is it still involved in a decision from your customer?
Peter F. Grosskopf: No. It has to do with how the money is deployed. And quite frankly, you're getting into areas which are too minor to describe in detail.
Aram Fuchs - Fertilemind Capital: Okay. It's just not that important?
Peter F. Grosskopf: No.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.